Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I'll now turn the call over to Soomit Datta, VP of Investor Relations for Liberty Latin America.
Soomit Datta: Good morning, and welcome to Liberty Latin America's second quarter 2025 investor call. [Operator Instructions]. Today's formal presentation materials can be found under the Investor Relations section of Liberty Latin America's website at www.lla.com. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this call is being recorded. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed annual report on Form 10-K and quarterly report on Form 10-Q, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations, or in the conditions on which any such statement or information is based. In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investor section of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Soomit, and welcome, everybody to Liberty Latin America's second quarter and first half 2025 results presentation. I'll begin with our group highlights and an overview of our operating results by credit silo. Chris Noyes, our CFO, will then follow with a review of the company's financial performance. After that, we will get straight to your questions. As always, I'm joined by my talented executive team from across our operations, and I will invite them to contribute as needed during the Q&A following our prepared remarks. That's a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. Starting on Slide 4 and our highlights. Today, we believe our share price does not fully reflect the intrinsic value of our underlying business. To unlock is value for our shareholders, we plan to proceed with the separation of Liberty Puerto Rico from LLA. It is essential that Liberty Puerto Rico is positioned with a strong and sustainable capital structure post separation. To that end, we are actively working towards this goal through a targeted liability management exercise. Chris will provide more details on this in his section. We also continued to grow our high-speed broadband and postpaid mobile base in the first half, adding 70,000 subscribers in total across the group. This was over 100,000 additions, excluding Puerto Rico with the main contributor being Costa Rica, Panama and Jamaica. We reported $2.2 billion of revenue in the first half of 2025. In the same period, residential revenue was up 2% in Liberty Caribbean and Costa Rica and 8% in C&W Panama year-over-year on a rebased basis. We expect these businesses to continue the momentum in the second half following the launch of new customer value propositions, which should resonate well in our markets. In addition, and after less favorable phasing through H1, we anticipate better momentum on B2B revenue in the second half across a number of regions. We posted adjusted OIBDA of $822 million, reflecting a rebased year-over-year growth rate of 8% in the first half. This includes double-digit rebased growth in Liberty Caribbean, Panama and Puerto Rico. We maintain our focus on lowering capital intensity. These efforts led to a 23% expansion in adjusted OIBDA less P&E additions year-over-year, bringing us to a margin of 25% of revenue in the first half of the group and 29% excluding Puerto Rico. These are strong numbers, reflecting the focus of management on profitable growth, which is expected to drive strong cash conversion in the second half. Turning to Slide 6. I'll begin our operating review with our cable and wireless credit silo, which had another very solid quarter. This silo includes Liberty Caribbean, C&W Panama and our Liberty Network segment. Starting with our Caribbean operations, now named Liberty Caribbean. We've rebranded this segment in the second quarter with a refreshed identity and signaling a renewed focus on driving digital transformation, particularly in the B2B space. On the left of the slide, we present our mobile KPIs. Postpaid mobile adds remained strong, led by another solid quarter in Jamaica that represents 20 consecutive quarters of subscriber growth. Mobile ARPU reported growth both sequentially and year-over-year, supported by prepaid price increases implemented earlier this year and in the first half of last year. This resulted in 6% mobile rebased revenue growth in Q2 year-over-year. Moving to the center of the slide to our fixed KPIs. Broadband subscriber growth was flat in Q2, with gains in Jamaica, offset by declines mainly in Trinidad. Trinidad is the only Caribbean market we operate in, where there are 3 national fixed players and where we lack a mobile offering. Fixed ARPU per customer relationship increased both on a sequential and year-over-year basis, reflecting the benefit of pricing changes. Lastly, for Liberty Caribbean, besides our corporate rebranding, we launched a new residential campaign title, Let Your Riddim Flow. This initiative strengthens our convergence strategy with a particular emphasis on accelerating postpaid mobile adoption. The redesigned platform introduced a striking new visual identity that is both distinctive and deeply rooted in local cultures, traditions and values, enabling us to build a stronger emotional connection with our customers. Moving to Slide 7 and our C&W Panama segment. Starting on the left of the slide. We delivered another quarter of strong postpaid adds, which supported robust mobile rebased revenue growth of 6% year-over-year. This performance continues to reflect the positive subscriber momentum we built following a competitor's exit from the market last year. Mobile ARPU remained stable both sequentially and year-over-year, impacted by lower prepaid recharges during the quarter, largely due to nationwide protests, which have since subsided. Moving to the center of the slide. We delivered a solid quarter of internet subscriber adds. This growth reflects the effectiveness of our broadband strategy and continued demand for high-speed connectivity. On the other hand, fixed ARPU declined both sequentially and year-over-year. This was primarily driven by retention discounts and lower acquisition ARPU, as we responded to offers from competitors. Our go-to-market strategy remains focused on delivering consistent results across our high-speed networks. This commitment was recently recognized by [indiscernible], which named as the best-performing fixed network in the country. In the B2B space, I'm pleased to highlight among other recent wins, a major milestone. We were awarded a contract with the Ministry of Education of Panama, Maduka to provide high-speed Internet to all public schools nationwide. This marks a significant step forward in advancing digital and educational inclusion across the country. Overall, we are building a strong platform in Panama. After a tough comparison in the first half, we are well positioned to carry better momentum into the second half of the year. Next, Slide 8 and our final segment within the C&W credit silo, Liberty Networks. On the left of the slide, we present our first half year-over-year revenue evolution. While revenue declined year-over-year due to the acceleration of noncash IRU revenue in the first half of 2024, our subsea business continues to demonstrate resilience. Excluding IRUs, the underlying wholesale revenue grew 8% on a rebased basis year-over-year, driven by new lease capacity sales. This reflects the strength of our core operations and the growing demand for bandwidth across the region. Enterprise remains a key growth engine with continued momentum in IT as a Service and connectivity solutions, particularly in the Dominican Republic, and El Salvador. These services are helping us build a strong base of monthly recurring revenue, which supports long-term stability and positions us well for the future. On the right of the slide, we highlight the core strength of our subsea and terrestrial infrastructure, which underpin the competitive edge of Liberty Networks. Our unique mesh network connecting over 30 countries with 50,000 kilometers of cable form the backbone of a diversified revenue portfolio, predominantly denominated in U.S. dollars. Despite elevated capital expenditures associated with Project MANTA, our new subsea cable system in partnership with Sparkle and Gold Data, we continue to deliver robust adjusted OIBDA less P&E additions of over 35% of revenue, reflecting the low capital intensity of the business and its ability to generate strong cash returns. Looking ahead, our focus remains on the successful execution of Project MANTA. On track for completion in 2027, the initiative is expected to establish a solid foundation of monthly recurring revenue, enhancing long-term profitability and positioning Liberty Networks as the region's primary data hub. Turning to Slide 10 and Liberty Costa Rica. Starting on the left of the slide. Mobile continues to perform strongly with growth concentrated in the high-value Postpaid segment, reinforcing our leadership in the market and driving 5% rebased revenue growth year-over-year. According to the latest regulator report, we remain the #1 mobile operator overall in Costa Rica throughout 2024. In postpaid specifically, reaching 2 percentage points in market share year-over-year. Mobile ARPU was flat sequentially, but grew year- over-year, supported by postpaid price increases and a higher proportion of postpaid subscribers. Moving to the center of the slide. We delivered modest broadband net adds and fixed ARPU declined both sequentially and year-over- year. As referenced in previous calls, the competitive backdrop in Costa Rica's fixed market remained challenging. To defend our fixed position and differentiate our offering, we have also revamped our video proposition. Since July 15, new and existing customers have access to the most popular over-the-top platform included in their home plan. This bold and meaningful value proposition unique for the Costa Rican market is anchored by a new brand claim. You want it, you got it. It's a promise that brings us closer to our customers, showing that we listen, we care, and we deliver. Moving to Slide 12 and our third credit silo, Liberty Puerto Rico. Starting on the left of the slide, mobile performance showed signs of improvement. Postpaid losses were lower compared to Q1, with a better run rate in May and June, and mobile ARPU increased sequentially, resulting in relatively flat sequential mobile subscription revenue. We continue to be focused on the Mobile segment, and I'm pleased to report that in June, we successfully expanded our network through the integration of low-band 600-megahertz spectrum alongside AWS 3 and AWS 4 bands. This strategic enhancement marks a significant step forward in service quality, capacity and coverage. This combination of spectrum bands is instrumental in meeting the surging demand for mobile data, ensuring we remain well positioned to support future growth. As a reminder, we were honored with both the best-in-class and the most reliable network awards from GWS earlier this year, further validating the strength and consistency of our network performance. Moving to the fixed side in the center of the slide. Following the price increase implemented earlier this year, we reported 7,000 Internet subscriber net losses, a fixed ARPU increased both sequentially and year-over-year. Fixed revenue was slightly negative year- over-year, as ARPU growth was more than offset by a lower subscriber base, impacted by the discontinuation of the ACP program in Q2 2024. We are now close to 20% fiber-to-the-home and have invested to upgrade our HFC network to DOCSIS 3.1. This enhancement has significantly boosted performance and enable us to win the fastest fixed network award from Ookla, achieving the highest speed scores and WiFi performance on the island. Slide 13, provides a deeper look into postpaid net adds, the evolution of mobile NPS. The launch of our new postpaid CVP, Liberty Mix and other initiatives. On the left of the slide, we break down postpaid activity into gross adds and disconnections. Gross adds over the past 2 quarters have remained consistent with pre-migration levels, underscoring the resilience and appeal of our product offering. Postpaid churn continues to improve, marking the fourth consecutive quarter of positive momentum. Moving to the center of the slide. we show NPS progression, a key leading indicator of customer satisfaction and brand perception. Compared to 1 year ago, we've made significant strides in rebuilding customer trust with NPS showing strong recovery. While our mobile NPS have returned to positive territory, it remains below pre-migration levels, indicating further room for improvement. On the top right of the slide, we wanted to share more detail on Liberty Mix. In July, we launched our new postpaid customer value proposition, Liberty Mix. This innovative mobile plan offers three tiers enabling customers to tailor each line to the specific needs of individual family of group members within the multiline bundle. Liberty Mix marks the first step in our brand relaunch strategy, and we anticipate it will drive gross adds in the second half of the year. On the bottom right of the slide, now that we have strengthened our network, IT systems and internal processes, we are applying the same playbook used across the Liberty Latin America Group, where FMC has proven very successful, over 30% penetration in a number of markets to lean into convergence in Puerto Rico. Our combination of best-in-class fixed, and wireless infrastructure should allow us to differentiate in the competitive marketplace. Being part of the wider group, Liberty Puerto Rico benefited from shared platforms and expertise. We've been developing solutions that use AI to improve our operations across our entire value chain, strong focus on commercial activities and top line growth. Specifically in Puerto Rico, we have been focusing on billing quality assurance and churn prediction. Moreover, we have made a significant number of changes to the management team, excluding leveraging experience and expertise from across the LLA footprint. Lastly, we continue to reshape the company's cost base to reflect the smaller scale of the business, conducting a disciplined review of each cost line. We expect additional measures will deliver greater margin impact in the second half of the year. Finally, on Slide 14, we summarized our strategic vision and outline the key drivers that sets us up for growth in H2. Firstly, the residential space, where we are well positioned. We operate in countries with healthy market structures across both fixed and mobile services, and we pursue consolidation opportunities to deliver value to customers and markets. For example, last year, we agreed to acquire Tigo's business in Costa Rica, which support growth in that market. We are working with regulators to approve that transaction and now expect this to close in early 2026. Our focus on fixed mobile convergence continues to pay off with penetration rates exceeding 30% in several markets, supported by our robust fixed and mobile infrastructure. We have also introduced several new customer value propositions in recent weeks, reinforcing our commercial momentum heading into the second half. Our second area of focus is B2B, which accounts for nearly 1/3 of group revenue. While we face year-over-year B2G revenue headwinds through Q2 and first half, particularly in Panama, we expect improved performance in the second half across several geographies to drive improving revenue momentum. Governments are investing in digitization, security and cloud computing, and we are the right trusted partner for them. Along those lines, ICT continues to be a source of future growth opportunity as we develop more encompassing cloud and cybersecurity solutions focused on mission-critical operations for our customers. We partnered with the hyperscalers to deliver computational and AI models for our customers. The MANTA bill, which progressed steadily through the first half is expected to contribute meaningfully to Liberty Networks revenue and adjusted OIBDA over the medium term. Lastly, costs. We have delivered strong margin progression in recent quarters, especially within our C&W silo. Across the group, we continue to see upside as we focus on higher-margin residential products. Our initiatives around copper migration, digitization and AI adoption have significantly enhanced workforce efficiency, leading to meaningful labor cost reductions. Additionally, we anticipate healthy synergies following the expected completion of the Tigo merger in Costa Rica. With that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will take you through our financial performance before we move on to your questions. Chris?
Christopher J. Noyes: Thanks, Balan. Let me now take you through our financial performance in greater detail, starting on Slide 16. Q2 2025 revenue, was 3% lower on a rebased basis, totaling $1.1 billion. This decline was primarily driven by the phasing of project-related B2B revenues across several geographies. Importantly, we have good visibility into stronger delivery in the second half of the year. However, residential revenue grew 1% year-over-year on a rebased basis, reflecting the strength of our core consumer business. Turning to adjusted OIBDA. We reported a rebased increase of 7% to $415 million, building on a solid 8% growth in Q1. Among our segments, only Liberty Networks saw a year-over-year decline in adjusted OIBDA, largely due to the timing of noncash IRU accelerations, which have now largely normalized. Supporting this growth is operating leverage, as we continue to execute on a range of cost out initiatives across our operations. These efforts have contributed to an improvement in our consolidated adjusted OIBDA margin, which expanded by 340 basis points year-over-year. Moving to the last section, we highlight an important metric for us, which is adjusted OIBDA less P&E additions. This increased by 26% to $265 million in Q2, representing 24% of revenue compared to 19% last year. The year-over-year improvement is reflective of the higher adjusted OIBDA margin and lower capital intensity, with P&E additions amounting to 14% of revenue in the quarter. Although we were up year-over-year on adjusted OIBDA less P&E additions, our reported adjusted FCF before partner distributions was negative $41 million in Q2 as compared to negative $7 million in the prior year, a decline of $34 million. This was attributable to working capital swings, including timing on key collections from our government customers. As in previous years, we anticipate a robust second half in cash flow generation, principally in the fourth quarter. Slide 17 recaps our Q2 results for the C&W credit silo, which consists of Liberty Caribbean, CWP and Liberty Networks. Starting with Liberty Caribbean. In Q2, we reported $366 million in revenue, with flat rebased growth year-over-year. This result reflects 6% growth in residential mobile, offset by a rebased decline of 3% and 1% year-over-year in B2B and residential fixed, respectively. The strength in mobile was driven by higher prepaid ARPU helped in part by selected price increases in a larger postpaid subscriber base, supported by our successful FMC and prepaid to postpaid migration strategy. Fixed residential revenue decline driven by lower volumes, mainly due to the impact of Hurricane Beryl in Q3 2024 and lower nonsubscription revenue. B2B was impacted by lower project revenue, particularly in Bahamas. Adjusted OIBDA came in at $174 million, representing 11% rebased growth year-over-year, fueled by optimization initiatives across our island geographies and our operating cost categories, including our network and commercial expenses. Our efforts have translated into an adjusted OIBDA margin improvement of nearly 500 basis points year-over-year, reaching 47%. Next, moving to Cable & Wireless Panama. CWP generated $177 million of revenue and $69 million of adjusted OIBDA, with a 10% rebased revenue decline and 6% rebased adjusted OIBDA growth year-over-year. The rebased top line decline was driven by 30% lower B2B revenue, partly offset by increases of 6% and 2% in residential mobile and residential fixed, respectively. The year-over-year decline in B2B revenue reflects an exceptionally strong prior year comparison, driven by a high volume of government project wins in Q2 2024. We expect to catch-up in the second half of the year, supported by a solid pipeline. The healthy mobile revenue uplift was supported by postpaid subscriber growth and higher handset sales, though prepaid was partially impacted by nationwide protest during the quarter. The residential fixed revenue rebased growth was mainly driven by broadband RGU additions. Year-over-year adjusted OIBDA performance was driven by improved gross margin, helped in part by lower B2B project-related revenue, and a reduction in operating expenses year-over-year. As a result, these factors led to an adjusted OIBDA margin expansion of almost 600 basis points to 39%. Turning to Liberty Networks, which delivered $115 million in revenue and $61 million in adjusted OIBDA, resulting in a rebased decline of 3% in both metrics. Specifically, wholesale revenue fell by 3% on a rebased basis due to an $8 million reduction in noncash IRU revenue amortization as compared to the prior year. Enterprise revenue declined by 1% on a rebased basis, mainly due to lower project-related revenue, which more than offset gains in IT as a Service and connectivity. Adjusted OIBDA was mainly impacted by the aforementioned decrease in IRU revenue. Aggregating all 3 operating segments within the C&W credit silo, we generated $636 million in revenue, reflecting a 3% rebased decline and $303 million in adjusted OIBDA, resulting in 7% rebased growth. Moving to Slide 18 and the Q2 results for our other 2 credit silos, Liberty Puerto Rico and Liberty Costa Rica. On the left, Liberty Puerto Rico. Revenue was $301 million, representing a 5% year-over-year rebased decline. Residential fixed revenue declined 1%, primarily due to lower volumes following the discontinuation of the ACP program, partially offset by higher broadband and video ARPU driven by price increases implemented earlier this year. Mobile residential revenue declined by 3% on a rebased basis, driven by lower postpaid subscriber base post-migration. This was partially mitigated by higher nonsubscription revenue, while prepaid revenue remained broadly flat. B2B revenue declined 18% on a rebased basis, mainly due to lower mobile service revenue, resulting from a reduced subscriber base and ARPU decline. Adjusted OIBDA increased by 21% year-over-year on a rebased basis, reaching $87 million. The improvement was primarily driven by lower bad debt expense, the phaseout of integration and TSA costs and reduced labor costs. P&E additions were $38 million, representing 12% of revenue, a 340 basis point decrease over prior year levels, as the business actively managed its capital intensity. Concluding with Costa Rica on the right, we delivered Q2 revenue of $151 million and adjusted OIBDA of $54 million, reflecting a 1% rebased revenue growth and flat rebased adjusted OIBDA growth year-over-year. Mobile residential revenue grew 5% on a rebased basis, supported by higher postpaid volumes from our prepaid to postpaid migration strategy and strong equipment sales. Fixed revenue was down 3% year-over-year on a rebased basis, driven by lower ARPU, primarily due to our buy-to-own CPE model, which is in turn increasing non-subscription revenue. B2B revenue was down 5% year-over-year on a rebased basis, mainly due to lower service revenue. Adjusted OIBDA remained flat as revenue gains were offset by higher equipment costs and increased bad debt. Next is Slide 19 and our balance sheet metrics by credit silo and in aggregate for LLA as of June 30. The C&W silo accounts for approximately $5 billion of LLA's total debt of $8.2 billion and has covenant leverage of 3.9x. Given the refinancings we have completed over the last 9 or so months, we have lengthened the silo's average life to about 6 years. Turning to Costa Rica. We have about $500 million of debt and the business has covenant leverage of 2.1x with the debt stack due in 2031. Importantly, we would expect to be in position post-closing the Tigo acquisition in 2026 to refinance our debt to more attractive levels given the low leverage and underlying strong performance of the business. And finally, Liberty Puerto Rico has $2.8 billion of debt, covenant leverage at 7.9x and debt maturities largely between 2027 to 2029. We will discuss our approach with the near-dated stack on the next slide. At the consolidated level, we have no debt at the holding company and thus, in aggregating our 3 credit silos, our $8.2 billion of debt reflects consolidated net leverage of 4.7x. Moving to Slide 20. Today, we wanted to highlight 2 key strategic initiatives that we have recently embarked upon at LLA and its operating businesses. Liability management at LPR and a concerted effort at LLA to unlock the underlying value of our operating assets. First, turning to the left side of the slide and building upon the balance sheet discussion from the prior slide and the commentary that we have shared over the last year. Our local operating team and LLA more broadly have been highly focused on stabilizing LPR and improving all aspects of the underlying business. As Balan noted today, we are seeing green shoots of a recovery. With that being said, it is our view that the capital structure at LPR is unsustainable, both in terms of quantum of leverage and expected carry cost. Hence, with still more than 2 years until our earliest bond maturity, we believe it is the appropriate time to look to improve and right size the capital structure. This should set LPR up for long-term success. Importantly, LPR has covenant flexibility in its credit documents, which will enable LPR to utilize its assets to raise incremental capital to the extent needed to fulfill near-term liquidity gaps. For our team on the ground, it remains business as usual with the utmost focus on our employees, customers and vendors and ultimately growing the business. There is no specific time line for resolving the capital structure. We'll look to communicate updates as necessary. Finally, LPR has appointed Moelis and Ropes & Gray to lead the execution of the liability management exercise. Moving to the right side of the slide, having previously reiterated the silo principle of the Liberty Latin America Group and in order to better highlight and unlock the respective value in our assets, we are announcing our intention to separate Puerto Rico from the rest of the LLA Group. This will enhance our ability to better position each of the respective businesses and their positive attributes, including market position, growth opportunity and potential cash flow generation. The separation can be affected in several ways, including a potential spin-off of LPR, and we are targeting to complete into the first half 2026. Importantly, the separation is not dependent on completing the liability management exercise. In terms of the relative size of the 2 groups of assets and using 2024 full year results as a proxy, revenue and adjusted OIBDA for LLA, excluding Puerto Rico, would have been approximately $3.2 billion and $1.3 billion, respectively. After deducting the reported segment results of Puerto Rico, which reported $1.3 billion of revenue and $308 million of adjusted OIBDA. On the same basis and excluding Liberty Puerto Rico, LLA's adjusted FCF before distributions would have been nearly $200 million or almost 70% higher than what was reported as a consolidated group in 2024. This is not necessarily reflective of the separate results, but a good indication. We obviously expect FCF to expand from here given the underlying operational strength of the business, as we have demonstrated through H1. Additionally, the remaining LLA business would be levered roughly 1 turn lower from where it is today. Post separation, LLA expects to have the ability to enhance its capital return strategy, including the potential for not only share repurchases, but recurring dividends, capitalizing on the FCF generation of the LLA assets, excluding Liberty Puerto Rico. Citi and LionTree are working with LLA on asset separation as well as other corporate options to help to unlock equity value at LLA and remove the embedded valuation discount that we believe has been apparent in our equity trading price. Moving to Slide 21 and our conclusions. In the first half, we delivered solid results. Adjusted OIBDA grew at a high single-digit rate with particularly strong growth in the C&W silo. We also saw a year-over-year decline in P&E additions. This is a reflection of our disciplined capital intensity management and improved operational efficiency. Looking ahead to the second half, we are optimistic. We have launched new customer value propositions aimed at sustaining residential momentum. On the B2B side, we have a good pipeline that should support stronger revenue performance. In addition to these top line drivers, we have substantial cost-out initiatives in flight across each of our businesses and corporate, and expect more favorable working capital trends in H2, all of which should set the stage for improved free cash flow performance as we close the year. Our operating prospects, combined with the actions that we just discussed on both the liability management and separation of Puerto Rico, we believe set the stage for value creation for LLA shareholders. We look forward to updating investors over the next quarters as our projects advance, and both the operating and corporate teams of LLA are hard at work to deliver continued growth, margin improvement and cash flow generation. With that, operator, happy to take questions.
Operator: [Operator Instructions] The first question comes from Vitor Tomita of Goldman Sachs.
Vitor Tomita: We have 2 from our side. They're actually on Panama. The first one is if you could give a bit more color on the B2B headwinds that you saw there, if those are related to private or government projects, and if there have been any further collections issues on this B2B front? And the second question would also be on Panama, but on the margin side, margins improved a lot there and to a point that EBITDA rose year-on-year, despite the revenue headwinds. Could you give more color on the OpEx reductions or efficiencies that allowed for that aside from revenue mix effects naturally?
Balan Nair: Thanks for the question, and I'll ask Rocio to join me here in a second as well. The B2B headwinds are primarily one comparison to a very, very strong second quarter in 2024, but in addition to that, we did deliver a number of projects to the government in the second quarter this year that due to a lot of the bureaucracy and signatures required, we did not recognize that revenue. And so you'll start seeing that drop in the third quarter. And -- but for the most part, it's all B2G, it's business to government. And who is one of our largest customers as well. So that's kind of a little bit of the headwind there. On the margin expansion, I mean, it's actually quite a strong story. You'll see the real margin expansion at the operating free cash flow level. And the way we've done that is through both efficiencies at the OpEx level and efficiencies at the CapEx level. I mean the -- we see a significant -- I think from the last time, it's like almost 6, 7 points in -- and we think there's still plenty of room to grow if you look at some of our other operating units as well. So we are quite bullish around the margin expansion in Panama. The cash -- the revenue trajectory will change in the third quarter as the phasing issues of B2B. But I would like to highlight our mobile business has been growing. Revenue has been growing, and our fixed business grew as well. And the fixed business has, I think, even more opportunity for us because we do have the smaller market share in that market with a better network, a fiber-to-the- home network. So with that, Rocio, would you like to add some color?
Rocio Lorenzo: Sure. Absolutely. So on the revenue side for B2B, the headwinds that we were experiencing this quarter, I would say our B2B business is a tale of 2 cities. So one, the recurring business and the other side, the nonrecurring business, which is mostly government revenue. So on the recurring business, we are experiencing quite a strong quarter, in fact. Just to give you a bit of comfort, we are seeing our customer base in both in mobile and in fixed services growing middle to high single digits. So we're seeing the recurring business progressing -- continuing to progress very well with momentum. On the nonrecurring business, which is this type of big projects. In this case, 100% government projects. Of course, it's basically depending on the phasing. So you have one big project like we won this quarter of the Maduka project, right? That was like $40 million. However, until you are able to see it on your P&L, it takes time. And those -- this lumpiness of the nonrecurring business is basically what you are seeing right now. And as Balan and Chris stated, is something that we are hoping to see with a very different momentum on the second half of the year. So that's your point on revenue. On the increased profitability, I think it's basically 2 main levers. At the gross margin level, it's basically the tailwinds from our well- performing recurring business, the residential business and the recurring part of the B2B business. And then at the OpEx level, we have done significant work over the last quarters in terms of streamlining our labor and our nonlabor OpEx, and you're starting to see the fruits of that work. So glad you noticed. Thank you.
Balan Nair: Thanks, Rocio.
Operator: The next question comes from Chris Hoare of New Street Research.
Christopher John Hoare: I just had a couple of questions on the plans around spinning out Puerto Rico. Obviously, you've mentioned that you want to use selected assets. I just wondered if you could clarify which assets in particular. I mean the key ones from my perspective would seem to be spectrum and the broadband network. But is there anything else that you think is material enough to be able to utilize?
Balan Nair: Well, as you've kind of highlighted a lot, the assets that we have. But we're really not commenting too much around how we're going to approach that liability management. The management -- our team right now, we just focus on running the business, improving the operational metrics. And -- but we -- as you highlighted, we do have some strong assets within the group that gives us financial flexibility.
Christopher John Hoare: Okay. Great. And then just a sort of follow-up then. As you also mentioned, once Puerto Rico is separated, the rest of the group leverage is significantly lower. Would you feel at that point that you would want to delever the rest of the group further. So just trying to think about sort of potential shareholder remuneration, as you mentioned, the possibility of dividends or share buyback. I mean, would there be a further need for delevering of the rest of the group? Or you think at that point, you have flexibility essentially around all of the cash flow to use it either for shareholder remuneration or M&A, if there was something interesting from that perspective?
Balan Nair: I mean -- here's how I would say, if you look at the separated asset from what remains, just look at the EBITDA growth on that, and we will organically delever. That is kind of one point. And as Chris highlighted, the actual free cash flow generation of the RemainCo, especially if you look at our wholesale business, our subsea business, we're throwing up quite good cash. And now certainly, dividend, stock buybacks and a number of things, the traditional capital allocation strategy, we would go through it. But we're actually really excited about the cash flow generation of the business. We think the debt will organically delever as we expand our EBITDA and all the operational efficiencies that we've been working on kicks in. So from that sense, I think it's sitting pretty good. So you're going to have a lower levered balance sheet, good cash flow generation and a lot of optionality for management and the Board to consider.
Christopher J. Noyes: And I would add that the capital structure on Cable & Wireless in Costa Rica is long-term in nature. So over -- 80% of the debt is 2031 or beyond. So that provides a huge amount of flexibility for the company.
Operator: [Operator Instructions] The next question comes from Gabriel Baselina from Morgan Stanley.
Gabriel Baselina: Could you give a bit more color on the impairment you had on Puerto Rico? That would be my [indiscernible].
Balan Nair: Sure. The impairment is really around the spectrum that we have here in Puerto Rico, and we had a third-party assessment on that. This is a spectrum that came to us from the AT&T acquisition. And as you know, we recently acquired new spectrum from DISH, which required a valuation pegged on the spectrum that we already own. It's an accounting adjustment. Brian, do you want to add to that?
Brian D. Zook: No, that's right. The spectrum was impaired from the AT&T acquisition, which had a relatively higher carrying value than the DISH spectrum, so that ultimately resulted in the loss.
Operator: That will conclude today's question-and-answer session. I'd like to hand back to Balan Nair for any -- apologies. We do have another question from David Lopez of New Street Research.
David Lopez: Just a couple more on Puerto Rico. I think you mentioned a change in management team there. I was wondering if you could give a bit more color. And on your new offers, Mix and Match, I know it's early days, but what's the initial impression and initial traction? Do customers like it? Or what are the initial thoughts, please?
Balan Nair: Sure. There are a number of things we were looking at here at Puerto Rico, and the management changes is really focused around 3 specific areas. One, our operations and processes. And this is everything from how you sell to how you collect to how you manage the back office. Second, we were really focused on our network and technology, and that was another big management change that we made, so that the network and technology improvements that we were looking for get manifested this year. As you saw, we fired up new spectrum, we improved the fixed network and made significant improvements on our IT systems as well. And then finally, our commercial go-to-market. And the commercial go-to-market strategy that we have had over the last year clearly, as you can say, was underwhelming. And so we've brought in some really strong talent in that area. And you can see it manifested really in the last few weeks with our first launch under this new management team, and it's catching. ARPUs have actually increased. The MRC has increased over the -- on incoming over the base and the proposition is catching. We've got more traffic into stores, et cetera. So the culmination of all 3 resulted in better NPS, lower churn. And soon in the second half of this year, you'll start seeing the drop in the top line as well. That is kind of like how we've been thinking about it. This is a project that's going to take a lot longer than it took to get to where we were at. And -- but we are very focused on it. And I think we have the right team here in Puerto Rico to execute on it.
Operator: That will conclude today's question-and-answer session. I'd like to hand back to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator, and thank you, everybody, on the call. We are actually quite excited about the future here, the future in Puerto Rico and the future in the rest of our businesses. Puerto Rico, things are turning. Green shoots are appearing. And as Chris indicated, the capital structure is just not optimal for the business right now. So we're going to work on that, and this is going to be a really good business for LLA and future LLA shareholders. And then on the remaining business, you can see the numbers. We are very, very excited about it. The cash flow generation as well as the organic growth that we are going to see. It's going to be really clear to all of you, to our investors as well, where you can now have a clear line of sight to both these businesses. And Chris, John, Ray, my whole management team, we are very excited about the future here and some of the changes we are making. So thank you for your support and look forward to talking to you again.
Operator: Ladies and gentlemen, this concludes Liberty Latin America's second quarter 2025 investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com. There, you can also find a copy of today's presentation materials.